Operator: Good morning, and welcome to the Ocean Power Technologies Second Quarter of Fiscal Year 2025 Earnings Conference Call. A webcast of this call is also available and can be accessed via a link on the company's website at www.oceanpowertechnologies.com. This conference call is being recorded and will be available for replay shortly after its completion. On the call today are Dr. Philipp Stratmann, President and Chief Executive Officer; and Bob Powers, Senior Vice President and Chief Financial Officer. Following prepared remarks, there will be a question-and-answer session. I'm now pleased to introduce Bob Powers.
Bob Powers: Thank you, and good morning. After the market closed yesterday, we issued our earnings press release and filed our quarterly report on Form 10-Q for the period ended October 31, 2024. Our public filings are available on the SEC website and within the Investor Relations section of the OPT website. During this call, we will make forward-looking statements that are within the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements may include financial projections or other statements of the company's plans, objectives, expectations or intentions. These statements are based on assumptions made by management regarding future circumstances over which the company may have little or no control and involve risks, uncertainties and other factors that may cause actual results to be materially different from any future results expressed or implied by such forward-looking statements. Additional information about these risks and uncertainties can be found in the company's Form 10-K and subsequent filings with the SEC. The company disclaims any obligation or intention to update the forward-looking statements made on this call. Finally, we posted an updated investor presentation on our IR website. Please take a moment to review it as it provides a nice overview of our company and strategy. Now I am pleased to introduce Dr. Philipp Stratmann.
Philipp Stratmann: Good morning, and thank you for joining us today. I'm thrilled to share the second quarter of fiscal 2025 was another transformational period for OPT. Our business remains on track toward achieving positive cash flow by the end of calendar year 2025. And this quarter, we delivered outstanding results across key financial and operational metrics. We achieved remarkable revenue growth, significantly reduced operating expenses and advanced our strategic partnerships and technological innovations. These milestones reinforce our current trajectory and position us for continued leadership in the rapidly evolving maritime and renewable energy sectors. Today, I will highlight the quarter's most notable achievements, the momentum they create and the exciting opportunities ahead as we pursue our strategic goals for fiscal 2025. To start, I'm excited to share that we achieved record quarterly revenue of $2.4 million, our highest ever. This represents 170% increase compared to the same period last year, a testament to the effectiveness of our focused strategy and the growing demand for our solutions. Our strategic emphasis on national security, critical infrastructure and international market expansion continues to deliver results. This reflects not just broader macroeconomic trends, but our ability to penetrate diverse markets and execute for new customers. We are successfully converting our expanding pipeline into revenue, driven by increasing domestic and international demand. Our ability to scale and deliver on large contracts positions us for sustained growth, and we're confident in our ability to capitalize and build on this momentum. On the cost side, we're maintaining a disciplined approach to operational efficiency. Through strategic headcount optimization and rigorous management of third-party spending, we reduced year-over-year operating expenses by 41% and operating cash burn by 39%. These results underscore our proven ability to manage resources effectively while scaling the business for long-term growth. As a result, we remain on track to achieve profitability in the fourth quarter of calendar 2025, a pivotal milestone that we approach with firm resolve and confidence. Strategic partnerships remain central to our growth strategy. This quarter, we made significant progress in expanding our market presence. In Latin America, we announced a partnership that includes $3 million in purchase order commitments over 36 months. This highlights the growing demand for our WAM-V USVs and reinforces our leadership in cutting-edge maritime technology. In the Middle East, OPT partnered with Unique Group to exhibit our WAM-V at ADIPEC and to provide services to commercial customers. We also signed a distributor agreement with Remah International Group in the UAE to focus on defense and security applications. Finally, we entered into a partnership with 3B General Trading and Contracting Co to explore offshore energy and maritime projects in Kuwait. Our innovative solutions such as PowerBuoys and AI-powered WAM-V USBs equipped with Merrows systems are uniquely positioned to meet the region's need for sustainable, efficient offshore energy across commercial and defense industries. Domestically, we remain steadfast in our commitment to support national defense. This quarter, we successfully completed a second set of exercises under our follow-on contract with EpiSci as part of Project Overmatch. These exercises showcase the power of our WAM-V technology in military applications, validating its operational reliability and further solidifying our position in the defense sector. We are encouraged by the broader trends in defense procurement, which are increasingly shifting towards nontraditional and dual-use technology providers like OPT. This shift aligns with our strengths in delivering innovative, adaptable solutions for military and commercial applications. Importantly, we believe these changes represent significant upside as governments prioritize agility and innovation in their procurement strategies. Our advancements and partnerships demonstrate our continuing leadership in the maritime, AI and autonomous vehicle space. With sectors such as national security, offshore energy and marine intelligence poised for significant growth, we are well positioned to make the most of these opportunities and drive innovation forward. In conclusion, I am incredibly proud of the progress we've made this quarter. Our strategic execution, cost discipline and innovative partnerships are driving us toward our goal of profitability by the end of calendar 2025. The momentum we have built gives us confidence in an even brighter and promising future. Thank you for your continued support. I will now hand it over to Bob, who will provide a detailed review of our financial performance.
Bob Powers: Thanks, Philipp. Let's begin with revenue. As Philipp noted earlier, this quarter, we achieved record revenue of $2.4 million, marking a 170% increase year-over-year and a 142% increase sequentially. This represents a significant achievement for Ocean Power Technologies, illustrating the fundamental strength of our strategy, the disciplined execution of our team and the growing demand for our solutions. Our strategic focus on expanding in Latin America proved instrumental this quarter, with sales from the region contributing approximately one-third of our total revenue, a new high for us. This performance validates our efforts to diversify revenue streams and take advantage of opportunities in high-growth markets. Looking ahead, achieving record revenue is an important step forward in our foundation for sustained growth. To that end, we remain focused on executing our strategy to deliver consistent results and build long-term value for our shareholders. Turning to expenses. Our operating expenses for the second quarter of fiscal 2025 totaled $4.7 million, a 41% reduction compared to the $8 million in the same period last year. This $3.3 million decrease reflects deliberate efforts to optimize headcount, significantly reduce third-party spending and tightly controlled costs across the organization. As Philipp noted, the reduction in operating expenses, coupled with a 170% revenue increase, reinforces our proven ability to scale operations efficiently. We're confident this model will support our path to profitability as we continue to grow. As a result of these measures, our net loss for the quarter decreased by 46% from $7.2 million in Q2 of last year to $3.9 million this year. This improvement shows our continued commitment to driving financial discipline while supporting our dramatic growth. On the balance sheet front, our combined cash, restricted cash, cash equivalents and short-term investments totaled $2.3 million as of October 31, 2024, compared to $3.3 million at the close of the prior quarter. In terms of cash flow, year-to-date, net cash used in operating activities totaled $10.9 million, a 30% improvement compared to the $15.5 million in the prior year. This reduction reflects the positive impact of our cost management initiatives, offset by payouts related to employment bonuses and earnouts accrued during fiscal 2024. That concludes our financial update for the quarter. Looking ahead, we are encouraged by the compelling demand signals underlying our strong quarter, and we have several promising opportunities in our pipeline. Additionally, new initiatives such as the partnerships Philipp discussed, position us to address emerging customer needs and expand our footprint globally. Thank you for your attention and your continued support of Ocean Power Technologies. With that, we'll open the floor to your questions.
Operator: [Operator Instructions] Our first question comes from the line of Shawn Severson with Water Tower Research. Please proceed with your question.
Shawn Severson: Thanks. Good morning, gentlemen.
Philipp Stratmann: Good morning, Shawn.
Shawn Severson: Phil, can you talk a little bit about how the recurring revenue side and the as-a-service strategy is going? It seems like you're getting a lot more deployments even outside of some defense applications. How is this -- how is the recuring revenue model fitting into the commercialization you're seeing now of the business?
Philipp Stratmann: Good morning, Shawn, thanks for the question. We are definitely seeing an increase in leases as-a-service type models, exercises, various deployments that we're doing and that certainly helps in terms of the recurring revenues that we're seeing and our ability to project forward, where we are seeing this -- we seeing this on both sides of the sense being one side being defense and security and the other one being civilian/commercial applications. And it is for a range of customers around offshore energy and certainly for larger-term exercises. I would add that in addition to the leases, we are still maintaining and seeing a steady drumbeat of interest that comes from the sell side. And as we've said previously, in a kind of further step changes in overall revenue will come from some larger project-based sales, which then enable us to provide additional service revenues into that installed base. And you probably saw that over the course of the last few months, we launched our formal service offering, and we've got our first couple of customers under contract. So this is for vehicles where they're sold or leased and would equally apply to buoys whether sold or leased, where we then provide maintenance services at different tier levels the way you would expect it from kind of any other kind of asset that you're utilizing.
Shawn Severson: So as I think about a model going out, every time you get these equipment, the equipment sales themselves, right, should we start thinking about or are you going to start guiding towards some type of a reoccurring revenue pattern that we should think of? So as you get towards your cash flow breakeven that coming, I assume mostly from equipment sales, but then we can look at it and think of these tails of cash flow that come out from the equipment sales. Is there any framework or reference around how we should model that or think about that from equipment sales to recurring revenue?
Philipp Stratmann: Yeah. If you look at the businesses that exist in the ocean and maritime technology space, particularly in kind of oilfield services to a large extent, there is -- I think there's some fairly reasonably established guidelines around how -- once a system is sold and put into use, what additional tail revenues come with that. And these tail revenues will exist over the useful economic life of the asset and whilst it is deployed by the customer. So I think we're definitely going to start seeing more of that. We just recently launched that service offering. So I think as the next series of quarters develop, we’ll be able to provide more of a kind of trend on how that is developing and in terms of how that shapes out over the years. As I said, these are definitely long-term revenues that maintain a stable base and footing for the company.
Shawn Severson: Thanks. My last question is you talked a little bit about Latin America and South America. Are these projects that you're working on or getting deployments in, are these -- these have the potential to go global, I guess? I mean, are you working with these -- the customers, obviously, in this location. But do you view this as a -- not really a test -- nothing to test anymore, but really like rollouts of seeing how this works and that you'd be able to follow that customer around the world for other oil and gas development projects or ongoing ones?
Philipp Stratmann: I think it is a mix of both, Shawn. I think there is -- especially in the offshore energy space, some of the work is very region-specific. But as we've seen in the past, once you demonstrate it with one customer that sits at kind of Tier 1, Tier 2, Tier 3 in that value chain, other customers become way more willing to go and replicate that in their parts. I think the approach we've taken is that we are very deliberately targeting specific regions in Latin and South America. Oftentimes, there are regions where there is a direct overlap between security and offshore energy and we're taking the same approach in the Middle East. I think as we continue to scale, I think once we are proving out these projects in those areas and regions, we will then look at where the next set of logical geographic regions are for us to kind of start replicating those efforts on that approach. What that approach allows us to do is to stay lean in the way that we're now structured but still capitalize on regional specific opportunities.
Shawn Severson: Great. Thanks for the color, Philipp.
Philipp Stratmann: Thanks, Shawn.
Operator: Thank you. Our next question comes from the line of Jeff Grampp with Alliance Global Partners. Please proceed with your question.
Jeff Grampp: Good morning, guys. I want to start on the Middle East. You guys highlighted a number of partnerships that you're kind of stacking together out there, and I know you've highlight of that area in particular as a big opportunity for you going forward. What do you really think is kind of the path forward there in terms of kind of getting more orders and scaling that from a revenue standpoint, converting that pipeline. Is that something that happens in kind of the nearest term, maybe calendar '25? Is that something that takes a little bit of a longer timeline to ripe in? How should we think about the maturation of that market, in particular for you?
Philipp Stratmann: Thanks for the question, Jeff. I think we feel confident that we will see a lot more activity certainly in terms of bookings and also, to some extent, revenues over calendar 2025 in that region. And it's been enabled by two main factors. One is we had a vehicle with US Navy for close to two years, I want to say, with Task Force 59 out in Bahrain. That enabled us to carry out the hot weatherization of those systems for the vehicles. And equally, the developments that we made [Technical Difficulty] specifically, again, taking into account hot weather lessons, but also the fact that there's very little wave activity. The fact that we have chosen strong partners, I think, gives us confidence that we will see more over calendar 2025. And we recently, together with Unique group exhibited the 22-foot vehicle that we have at ADIPEC in Abu Dhabi. We are currently working on some defense demonstrations to take place in late winter, early spring of calendar 2025. And then I think that will rapidly lead to follow-on opportunities. What we are benefiting from is that we are demonstrating commercially proven solutions that somebody can then place a PO pretty much straight away because we're not in that region to try and find R&D funding. We're in that region to try and help our customers solve the problem that they actually have right in front of them today.
Jeff Grampp: Great. That's really helpful. Thank you. For my follow-up, what would you guys say this path to profitability over the next, let's call it, 12 months? What's the biggest risk or hurdle to maintaining the trajectory that you guys are building on there? What are the, I guess, main factors that keep you guys up at night that could derail that? And then what are you guys doing maybe preemptively to mitigate any of those risks and keep you guys on track? Thanks.
Philipp Stratmann: Yeah. No, it's a great question. Thanks, Jeff. I think, obviously, the ability to continue scaling and maintaining the growth pattern that we've set out, converting what we have in the pipeline to backlog, to revenues is obviously always something that we take a very close look at and how we do that in a manner that maintains the cost effectiveness that we've introduced at the company. So, what we're very aware of is pushing the team that we have to the very limit and then looking at what point is the right time to scale up to meet the increased demand that we're seeing, but not getting ahead of ourselves so that we maintain cost effectiveness and efficiency in terms of delivering the revenues that would come from the backlog and from the pipeline.
Jeff Grampp: Great. That's really helpful. Thank you guys for the time.
Philipp Stratmann: Thanks, Jeff.
Operator: Thank you. Our next question comes from the line of Brian Gordon with Water Tower Research. Please proceed with your question. Mr. Gordon, your line is live.
Brian Gordon: Sorry about that. Good morning, everyone. I was hoping we could get a bit of an update of where we are in terms of the backlog and the pipeline. And kind of my follow-up question would be, how should we think about how those two revenue streams get converted into actual recognized revenue?
Philipp Stratmann: Yeah, absolutely. As I said, we announced record revenues for the last quarter. And at the same time, our pipeline has remained at a very similar level to where it's been for a while. What that shows is that for everything that we pull out of the pipeline, which then becomes a backlog and then we converted into revenues, we add more things into the hopper at the top of the pipeline, so we're maintaining traction. We're seeing leases converting into backlog, but they will convert, similar to Shawn's question earlier, they'll convert into revenue at a lower pace, but are a longer-term horizon from a recurring opportunity side. And we're going to start seeing larger sales converting into revenues at a quicker pace. But obviously, the only recurring part of that is then the maintenance revenues that come behind it. Now that we've put behind us the [indiscernible] campaign that the company had faced over the past 15-plus months, we are able to fully concentrate on converting pipeline to backlog and then delivering that backlog in a timely fashion to our customers who depend on our systems to carry out their jobs for their customers.
Brian Gordon: Definitely. Thank you. That makes sense. Have you announced though, like what the actual backlog is given that the pipeline is roughly at that kind of $90 million plus number?
Bob Powers: Yeah. We're -- for the quarter end, we're at about $3.6 million. So that's down a little bit sequentially from where we were. But with some of the opportunities that Philipp mentioned earlier, the anticipation is that will tick up shortly.
Brian Gordon: Great. Thank you. And I guess if I could sneak in one last question. You guys have talked for the last couple of quarters at least about breakeven in the fourth quarter of this fiscal year. Have you talked about what that OpEx number will be that you guys will reach that breakeven on?
Philipp Stratmann: I think we've mentioned it's breakeven in the calendar year, not the fiscal year, obviously, our fiscal year is the end of April. So we've been talking about breakeven in fourth quarter of calendar 2025. So for the question, I think, from Jeff, it was earlier in about -- in that kind of next 12-month horizon. And as I just mentioned, we are working very hard to maintain OpEx at the now very cost-effective, cost-efficient levels where it is at. We don't see any reason for material expansions in OpEx that would get ahead of anything that couldn't be reflected directly related to revenues. And we make very efficient use of the space that we have. So we don't foresee any -- obviously, extraordinary expenses, notwithstanding. We don't foresee there to be any need to add in costs into this business that isn't directly related to delivery of revenues.
Brian Gordon: Great. Well, thank you very much and good luck on the next quarter.
Philipp Stratmann: Thanks, Brian.
Operator: Thank you. Ladies and gentlemen, this concludes our question-and-answer session. I'll turn the floor back to Mr. Stratmann for any final comments.
Philipp Stratmann: Thank you for being a shareholder for supporting our ongoing growth and execution of our strategy. We look forward to continuing to deliver for you, our customers and all of our stakeholders. Thank you.
Operator: Thank you. This concludes today's conference call. You may disconnect your lines at this time. Thank you for your participation.